Operator: Good morning. Welcome to Corby Spirit and Wine's Fiscal Year 2025 Q4 Year-End Financial Results Conference Call for the period ended June 30, 2025. Joining me on the call this morning are Nicolas Krantz, President and Chief Executive Officer; and Juan Alonso, Vice President and Chief Financial Officer. Hopefully, you had the opportunity to review the press release which was issued yesterday. Before we begin, I would like to inform listeners that information provided on this call may contain forward-looking statements, which can be subject to risks and uncertainties that could cause actual results to differ materially from those anticipated. Risks and uncertainties about the company's business are more fully discussed in Corby's materials, including annual and interim MD&A filed with the securities regulatory authorities in Canada as required. [Operator Instructions] Now I would like to turn the call over to Mr. Krantz.
Nicolas Krantz: Thank you very much, and good morning, everyone. I am Nicolas Krantz, and it's a pleasure to connect with you today. I am joined by Juan Alonso, our CFO, and we will share today the Corby's Q4 results and of course, with that, our full year FY '25 results. Juan we walk through, of course, the financials in more detail, but I will begin our session with highlighting the key drivers behind our strong performance in what continues to be a volatile and evolving market environment. So we closed FY '25 with robust momentum, delivering plus 7% reported revenue growth and plus 15% earnings growth, fueled by continued share gain in spirits and of course, the rapid expansion of our RTD business. This marked our third consecutive year of outperforming the overall spirits market, and for us, a testament to the strength and resilience of our diversified brand portfolio. Our strategic acquisition of ABG and Nude have also proven to be accretive, positioning Corby as a leading player now in the fast- growing RTD category across Canada. And these brands have been instrumental in accelerating our growth trajectory and reinforcing our consumer-centric approach. One note I would like to make on our Q4 sales specifically. Our success today notably reflected our proudly Canadian sales execution with our commission and local brands gaining share with U.S. original spirit being removed from shelf across most provinces since March. This shift has created a meaningful opportunity for our portfolio to step up and deliver, and we'll see that in our commercial results in a minute. Finally, and something one, of course, will expand on. We've continued to generate strong cash flow, enabling attractive capital returns to shareholders and further strengthening our balance sheet with our net debt-to-EBITDA ratio reduced to 1.4x. In line with this, our performance and confidence in the outlook, we maintained our quarterly dividend $0.23 per share, consistent with the Q3 FY '25, but up 10% relative to the Q4 FY '24, reflective of the sustainability of our dividend policy. So before going to the financials, let me give you a brief overview of the market context. Again, starting with the Q4, the final quarter of the fiscal year. Very proud to share that Corby delivered a strong commercial growth and accelerate the share gain across all categories, despite, of course, the challenging market context. So in the -- what we call the rolling 3 months, so that's Q4, our commercial execution proved to be highly effective, enabling us to capture share across all categories, as I mentioned, following the removal of U.S. original products from shelf in most provinces. And you can see here the numbers, very, very strong performance. We can probably qualify this as being outstanding for this Q4 because we are 8 points above the spirits market, 13 points above the RTD market and even in wine, we are delivering an outstanding performance of double digit. So this last quarter is probably, again, the testament of the execution of the team and has enabled us to deliver a very strong performance. That has led us to, of course, the full year results. So this momentum in Q4 translated into a strong close of the fiscal year. Next slide, please. And with Corby once again gaining share across all categories when we look at the 12 months period. That also now for the third time -- third year in a row, that's our performance, and that's something that we've been really, really targeting and chasing to deliver this performance. So whilst the spirit market is declining or -- and depletion are also slightly declining. We are performing way above the market. You will notice that, of course, the ready-to-drink category continued to be a dynamic category, growing by 7%. So that's -- and we'll come back to it when we talk about our strategic acquisition. So while spirit and wine are declining, RTD continues to be in good growth. And across those 3 categories, we are delivering the performance significantly above the market. Now if we look a little bit closer to the spirits category very briefly, this is just we want to highlight the fact that we continue to outpace the market in almost all spirits category, not all of them, but most of them. And that's really the advantage of Corby with our diversified portfolio. We are across every price point, every consumer occasion, and that's for us very important. And now we are really playing across all the categories in spirit, RTD and wine meaningfully. We are leveraging that with impact, I want to highlight, for example, in this quarter, we have some very successful launch with the limited edition of the Canada Day bottle of Polar Ice. Of course, the J.P. Wiser has continue with its official whiskey partner of the NHL marked with a special Stanley Cup Edition that honors the 2 Canadian icon of course, whiskey and hockey. So we really played across the categories and that's enabled us to perform 3 points above the market, which is an outstanding performance. Before I hand over to Juan, I want also to take a moment to spotlight our RTD portfolio. As I mentioned, a very dynamic category, and therefore, very strategic for us. While overall, our portfolio has continued to gain value share over the last 12 months, driven by a strong innovation pipeline and strategic execution. Our route-to-market strategy is a key advantage today with ABG providing strategic reach in Ontario and Nude strengthening our presence in Western Canada. And this has clearly helped accelerate growth across the overall RTD portfolio. Our innovation remains a core strength. Cottage Springs ranking among the top 2 RTD innovation in Ontario with a steady pipeline supported, of course, but the ABG in-house innovation lab that we mentioned several times in the past. The integration of Nude has progressed extremely well, supporting a more efficient and sustainable business model in the West, expansion effort and successful launch like Slappy's in Western Canada have contributed to improved sales performance over the last 6 months. Without giving too much detail here, this has been an amazing acquisition for us, with basically a payback below 1 year. So we bought this business, and we repaid a fully this business within 6, 7 months, which is, of course, a very strong outcome. Lastly, in Ontario, we've been able to capitalize on the route-to-market modernization since September. As you know, with basically the possibility to sell more in grocery and convenience. So we have been able to leverage the breadth and the depth of our RTD portfolio. And this has translated into strong momentum in grocery stores, where Cottage Spring was the #1 RTD in the last quarter of the fiscal year, a clear signal that our consumer demand is strong for our portfolio. So with that, let me pass over to Juan to give you more detail about these strong commercial results translating into strong financial results as well.
Juan Alonso: Thank you, Nicolas, and good morning, everyone. I'm Juan Alonso, Corby's Chief Financial Officer. I'm pleased to walk you through our financial results. So very quickly before we talk about our financial performance, you are going to notice some mentions of adjusted metrics and organic revenue growth. We believe that this non-IFRS financial measures support a better understanding of our underlying business performance and trends. We provided the detailed explanations for each of those elements in our Q4 FY '25 MD&A, and I invite you to refer to this document for any questions related to it. So let me start with our Q4 results. Corby delivered $72 million in revenue, representing plus 8% reported growth and plus 6% organic growth year-over-year. This performance was supported by the strong momentum in our RTD portfolio, capitalizing on the route-to-market modernization in Ontario and also the successful execution of our sales team, which helped us gain share in the spirit market following the removal of U.S. products from shelves. Thanks to revenue growth and disciplined cost management, our adjusted EBITDA reached $15.6 million, up 18% versus last year, and adjusted earnings per share came in at $0.26 and reported earnings per share at $0.22, reflecting remarkable growth of plus 37% and 30%, respectively. We also delivered $15.5 million in cash from operating activities in Q4 underscoring the strength of our earnings and working capital discipline. Lastly, in line with our Q3 declaration, the Board approved a quarterly dividend of $0.23 per share that is a 10% increase over the same period Q4 FY '24. This reflects our confidence in Corby's outlook and our ongoing commitment to shareholder returns. Now let's turn our attention to the full year performance. FY '25 was a year of strategic RTD business expansion and financial resilience. In FY '25, Corby generated $246.8 million in revenue, a 7% increase over FY '24 with plus 2% organic growth. This performance achieved in a challenging retail environment highlights the strength of our diversified portfolio and our agility in responding to market shifts. I will further delve into details in the next slide. With our top line growth as well as strategic investments behind key brands and diligent control of expenses, our adjusted EBITDA reached $64 million, up plus 7% and adjusted earnings per share were $1.08, with reported earnings per share at $0.96, representing a robust plus 15% growth in reported earnings and plus 7% in adjusted earnings. Our cash from operating activities totaled $44.8 million in FY '25. That is a $13.3 million increase year-over-year. This was supported by earnings growth, disciplined cost management and the lapping of acquisition-related costs from ABG and Nude. We also strengthened our balance sheet reducing our net debt to adjusted EBITDA ratio to 1.4x, down from 1.8 at the end of FY '25 -- '24. This reflects our strong solvency and financial discipline. Total dividends declared for FY '25 were $0.91 per share, up 7% from FY '24, reinforcing our commitment to consistent and growing returns for our shareholders. Now let's go in more detail on our year-to-date revenue growth. Firstly, domestic case goods reached $197.3 million reflecting a 1% organic growth and 9% total growth. This is highlighted by ABG brands growing 10% organically, supported by our dynamic RTD portfolio, capitalizing on the routes-to-market modernization in Ontario and also business expansion into Western Canada. Our case goods portfolio remained resilient despite the negative impact of the LCBO strike in Q1 and also soft underlying consumer trends. Commission revenue rose to $30.6 million or plus 15% versus the prior year, driven by imported RTDs and wines successfully tapping into the opening of grocery and convenience channels across Ontario. Lastly, our export revenue totaled $14.9 million, reflecting a 12% decline year-over-year. This decrease primarily comes from lapping the pipeline fuel to new markets last year, which had seen a remarkable plus 16% increase compared to the fiscal year '23 and also some glass production issues for Lamb's in the U.K. These results highlight our ability to navigate and adapt to the evolving market landscape, and we remain committed to leveraging opportunities for growth. So to summarize our P&L results for FY '25, Corby had solid revenue growth of 7%, bolstered by the strength of our portfolio, the new channel expansion in Ontario and the full year effect from the acquisition of Nude Brands. Our total operating expenses increased by 6% at a slower pace comparing to the growth in our revenue with strategic investments behind key strategic brands and the disciplined cost management. As a result, Corby delivered a solid growth of 7% in adjusted EBITDA, underscoring our ability to effectively manage costs while expanding our revenue base. On a per share basis, our adjusted net earnings was $1.08 and reported net earnings was $0.96, reflecting growth of 7% and 15%, respectively, versus last year. Now moving to the cash flow performance. In FY '25, Corby generated $44.8 million of cash from operating activities, supported by higher net earnings as well as favorable working capital changes, primarily driven by the timing of spend and favorability from interest and income tax. Our free cash flow turned positive and improved significantly year-over-year, benefiting from the lapping of last year's $148 million cash outflow related to the ABG and Nude acquisition. As a result, our net debt position was $91 million at the end of the year, a $15 million improvement compared to FY '24. And our net debt to adjusted EBITDA ratio reduced to 1.4x, demonstrating a robust solvency position and reinforce our financial health. Furthermore, Corby has an attractive dividend payout ratio at 57% on a rolling 12-month basis. highlighting the sustainability of the company's quarterly dividend. Notably, quarterly dividend payment increased by 10% in Q4 FY '24, compared to -- Q4 FY 2025 compared to Q4 FY '24. These actions have contributed to a high dividend yield over recent years at 6.7% at the end of this fiscal year, marking a consistent improvement from FY '23 and FY '24. We are proud of our performance in FY '25, and we remain focused on delivering long-term value for our stakeholders and shareholders. With a strong diversified portfolio, disciplined execution and a clear strategy, Corby is well positioned to continue driving growth and shareholder returns. Before I hand back to Nicolas, I just want to give you a glimpse of what is ahead for Corby in FY '26. We know the market will remain volatile in the next fiscal year, forecasted to remain in slight decline, but we believe that if we continue to leverage our diversified portfolio, leading brands, local footholds, top-tier marketing activities, we are well oriented to outperform the market again in FY '26. We will continue unlocking the full potential of our RTD portfolio, including the realization of ABG and Nude sales with operational synergies throughout a successful integration. Notably, we are going to address consumer needs and keep agility in our dynamic approach to successfully capitalize on the route-to-market modernization in Ontario. Also, revenue growth management and disciplined investment will remain a very important future to protect our margins in a sustainable way. In addition, we are closely monitoring regulatory and trade changes, including the tariff situation between the U.S. and Canada. We believe Corby is well positioned to navigate the challenges ahead with our diversified portfolio, strong local footholds and execution strategy. I will not dwell on our strategy since it was already well covered in the previous page. But just to remind that our goal remains to focus on sustainable growth and the long-term value to our shareholders. So now I hand over back to Nicolas for some closing remarks.
Nicolas Krantz: Thank you very much, Juan, very clear. And effectively, we are very proud of our commercial and financial results this year. Before we open the floor to possible questions, I just want to close as always, to what we see as being the key reason to invest in Corby. Corby remain the Canada's largest publicly listed multi-beverage alcohol company. And we strongly believe with the most diverse portfolio in the market. So with that as well, our close partnership with Pernod Ricard give us some strategic advantages and access to the global best practices and a fantastic portfolio. We have a clear strategy with strong execution and a proven ability to outpace the market in value growth. For us, it's remained the mantra of the company. Our innovation pipeline, marketing strength and recent acquisitions continue to drive performance and operational excellence. I mentioned a lot of the innovation. It's also an obsession for us to drive growth. And finally, financially, we remain very consistent. We are in a business where we can deliver resilient revenue, a strong cash flow. You saw the cash conversion and a healthy balance sheet that supports attractive and growing dividend, but also give us some flexibility. So with that, again, thank you very much for joining us today and for your continued support and interest with Corby. And Juan and I are now happy, of course, to take any questions, if any. Thank you very much.
Operator: [Operator Instructions] And I'm currently not showing questions at this time. I would like to turn it back to Mr. Krantz for closing remarks.
Nicolas Krantz: Thank you very much. And again, thank you for your attention today. We are Thursday. So as I usually say, again, enjoy the rest of the week. Best way to get to know Corby is to enjoy your product responsibly. So I wish you a good weekend and to the next time. Thank you very much.
Operator: Thank you, presenters. Ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.